Operator: Good day, ladies and gentlemen. Thank you for standing by, and welcome to the First Quantum Second Quarter Results Conference Call. [Operator Instructions] I would now like to turn the meeting over to Mr. Clive Newall, President. Please, go ahead, Mr. Newall.
Geoffrey Clive Newall: Thanks, France, and thank you, everyone, for joining us today. We've got several First Quantum people on the call with me, including Zenon Wozniak, Head of Projects; Hannes Meyer, CFO; Martin Walker, Treasurer; Juliet Wall, General Manager, Finance, and Libby Group Reporting Controller; and Sharon Loung, of course, Director of IR. As usual, following a few housekeeping items and some opening comments, Hannes will go through the -- well, actually, Juliet will go through the financial results, as Hannes is in the foreign parts at the moment, which were published yesterday after the close of the Toronto market. And then we'll open the lines to take your questions. A reminder, the presentation which accompanies this conference call is available on our website, www.first-quantum.com and can be accessed either on the Events section or on the Q2 2014 Results Conference Call button under the News section of the homepage. I should add that we're going to be adding, over the next 0.5 hour or so, we're going to be adding a number of new photographs of the smelter development, which aren't there now but will be later. So just keep an eye on that. They're very impressive. Before we begin, I must note that over the course of this conference call, we'll be making several forward-looking statements. And as such, I encourage you to note the risk factors particular to our company, which are detailed in our Annual Information Form and available on our website and on www.sedar.com. Now to begin the review. Comparative net earnings for the quarter totaled $133.6 million, or $0.23 on a per share basis, which is inclusive of $19.5 million, or $0.04 a share, of unfavorable recurring acquisition-related adjustment. Note that a similar amount of adjustment was included in the prior year's comparative earnings of $103.6 million or $0.18 a share. The lower year-on-year prices for copper and gold negatively impacted our gross profit by approximately $32 million. However, this was more than offset by $45 million in higher sales volumes and $30 million in better nickel price. While we are, and intend to remain, a copper-focused company, the value of having nickel as one of our main macros is quite evident in the quarter with its contribution of almost 15% of overall revenues. At Kevitsa, the optimization of the recently completed secondary mill conversion is underway and already was anticipated in our full year guidance, having a positive impact on throughput and, therefore, production. Of course, a very large part of our nickel product contribution this quarter was from Ravensthorpe, which turned in another strong quarter. Production was higher than both last year's comparative quarter and this year's first quarter. The focus in keeping a good maintenance schedule and vigilance on sustainable costs and process improvements continued to deliver positive results. For the nickel C1 cost of $4.26 a pound, Ravensthorpe produced very healthy earnings and despite recent uptick in the price of sulphur, to which it is highly leveraged. Kansanshi's operational flexibility was also in focus this quarter. The mine's overall production was up 4% from last year's Q2 on higher production through the oxide circuit. This more than compensated for our deliberate reduction in sulfide concentrate production as we work on reducing the concentrate inventory. These results, along with the full quarter at Las Cruces and generally steady operations at the other mines, built on the year's Q1 for a strong first half of 2014. As we said in our news release, the second half of this year is an important one for First Quantum as significant components of our growth, specifically Sentinel and the Phase 1 smelter, are nearing completion. Having just returned from Zambia and a visit to both of these projects, I can tell you that the advances made since my previous visit in February are very impressive. For anyone who was on that February visit, I believe the photos that we already included and are adding more as we speak will show this quite clearly. Already at Sentinel, several components are being commissioned, including thickeners, flotation cells, potable water systems and the raw water line to the plant, and we expect to start dry commissioning shortly in the first in-pit crusher, which is a major milestone. Of course, equally as important is that Sentinel continues to track well against its capital estimates of $1.9 billion. At the Phase 1 smelter, we are now well over 80% complete after 6 months of solid progress, averaging between 5% and 8% a month. Alongside construction completion, we have already started commissioning activities, which we expect will last over several months as is the norm with smelters. During the quarter, we announced our friendly bid for Lumina Copper Corporation and its Taca Taca project in Argentina. We believe this project is at a stage where it can benefit from our experience and are pleased that its director and management share that view and are supportive of the transaction. Immediately after closing, which we expect to be in probably the third week of this month, we plan on reviewing the project to determine the most efficient and economical timing for its development in the context of the other projects that we are currently developing. So now I will ask Hannes to -- or Juliet, should I say, to take us through the financials.
Juliet Wall: Thanks very much, Clive, and good day, everyone. So first of all, turning to the first slide, which is Q2 2014 highlight, that's Slide 8 of the presentation. So copper and nickel production both increased from the corresponding quarter last year. Copper production increased to 107,800 tonnes. That's up 4,100 tonnes or 4% versus Q2 2013, which includes 3,300 tonnes higher production at Las Cruces and 2,300 tonnes higher at Kansanshi. Nickel production for the quarter. That increased 1,300 tonnes or 12% from the prior quarter, reflecting higher production of both Ravensthorpe and Kevitsa. Copper C1 cost was higher at $1.45 per pound compared to $1.34 per pound Q2 last year. Nickel C1 cost was 24% lower. That's about $4.16 per pound compared to $5.45 per pound last year. Looking at gross profit. Gross profit increased 45% from the same quarter last year with high copper sales volumes and lower overall costs, which was partly offset by lower nickel sales volumes and higher depreciation. The benefits of higher nickel prices was absorbed by lower realized prices on copper and gold. Comparative EBITDA of $382 million was $50 million higher than the prior year quarter and 5% higher than Q1 2014. And so let's move onto the next slide, Production, Slide 9. As shown by the graph to the side, the group delivered production growth against Q2 2013 for both copper and nickel. Kansanshi recorded 4% increase in copper production compared to the prior quarter, primarily due to higher oxide throughput with the mine continuing to pursue its objective of reducing concentrate inventory ahead of the ramp-up of the copper smelter complex. Guelb Moghrein copper production was 25% lower than last year due to lower grades. But comparing against Q1 2014, copper production was 5% lower due to reduced copper concentrate production at Kansanshi and lower copper cathode production at Las Cruces. Nickel production of 4,200 tonnes was 12% higher than the corresponding quarter last year, with Ravensthorpe and Kevitsa benefiting from higher throughput. And gold production contracted 4% on the prior year quarter with lower recoveries at Kansanshi as well as lower grades at Guelb Moghrein. So moving onto the next slide, Copper C1 Cost. And so overall, group copper C1 cost of $1.45 per pound for the quarter was $0.11, or 8%, higher than Q2 2013. Kansanshi Copper C1 cost increased $0.22 due to higher mining cost associated with the relocation of waste dumps and all reclamation from stockpiles, which is really required to expose oxide ore and a lower gold credit -- as well as a lower gold credit. Las Cruces and Kevitsa copper C1 costs were both lower than the prior quarter, while Guelb Moghrein's copper C1 cost is higher due mainly to the impact of lower production. And so if you can turn to the next slide on Nickel C1 Cost. So this nickel C1 cost -- group nickel C1 cost of $4.16 per pound was $1.29, or 24%, lower than Q2 2013. Ravensthorpe's nickel C1 cost was $4.26 per pound, and that was $1.39 lower than the same quarter last year, primarily driven by workforce improvement, lower sulphur costs as well as higher cobalt credit. Kevitsa's nickel C1 cost of $4.02 per pound was $0.69 lower than Q2 2013 with processing cost savings achieved mainly on contractors and maintenance plus also lower treatments and refining charges. If we can go to the next slide, that's Slide 12, Financial Overview. So it says we're looking at great profit. Gross profit is $293 million for the quarter. It was $92 million, or 45% higher, than Q2 last year. Higher copper sales volumes at Kansanshi, Las Cruces and Kevitsa. Higher nickel prices and lower overall costs were partly offset by reduced nickel sales and lower realized prices on copper and gold. Comparative earnings were 29% higher than Q2 2013 and 6% higher than the prior quarter. The comparative effective tax rate of 39% is lower than the same quarter last year because of the quarter last year, Q2 2013, that was impacted by nondeductible nonrecurring costs and charges. Let's go to the next slide, Gross Profit Q2 2014 versus Q2 2013. You will see a similar -- multiple charts in previous quarters and the multiple chart details the group's gross profit in the quarter compared to the corresponding quarter last year. As mentioned previously, the impacts of lower realized prices on copper and gold more or less offset the benefits of higher nickel prices. Overall, costs were lower for this quarter, in particular at Ravensthorpe and Las Cruces. Ravensthorpe's processing cost savings were achieved mainly through workforce improvements along with lower cost of sulphur used in the production process. Las Cruces costs were mainly due to lower electricity prices, improvements in plant processing and general cost-reduction initiative. Copper sales volumes this quarter were higher at Kansanshi, Las Cruces and Kevitsa, while nickel sales volumes were lower at both Ravensthorpe and Kevitsa due to timing of shipments. Gross profit in Q2 2013 was also reduced by the recognition of $36 million of nonrecurring acquisition accounting per value adjustment to inventory. So you don't see that repeated in this quarter. Next slide, Quarterly Net Debt Movement, Slide 14. So that you would be able to see there the group ended the quarter on a net debt position of a little over $4.3 billion compared to just over $3.7 billion at the beginning of the quarter. Working capital has increased during the quarter, and that will be due to 3 major actions: an increase in trade receivables due to high Kansanshi concentrate shipments and the timing of sales of other operations; a higher VAT receivable at Kansanshi; and also a decrease in capital creditors at Cobre Panama. Tax paid for the quarter was $65 million, mainly relating to payments made by Kansanshi, Çayeli and Bwana. $69 million (sic) [$619 million] was spent on capital expenditure in the quarter, so that included $180 million at Cobre Panama, $203 million at Trident and $210 million at Kansanshi. That spend at Kansanshi, that will include $89 million on the smelter project, $44 million for the circuit expansions and $30 million on car [ph] loans with $7 million on mining fees and $9 million on capitalized stripping. At the quarter end, the company had $1.9 billion of committed undrawn debt facilities available and $769 million of cash and cash equivalents, including $87 million of restricted cash. And so during the quarter, we finalized the reorganization of the finance and capital structure outlined in Q1. And so in May, the company issued $850 million in senior notes due in 2022. The proceeds, which are to be used to partially repay the company's revolving credit facilities and fees associated with the offering. And the company also completed the syndication of its 5-year term loan and revolving facility with an upscale in the facility to $3 billion due to oversubscribed syndication demand. The facility demonstrates the excellent relationships we hold with financial institutions worldwide, and it really enhances our long-term financing flexibility to support our major development program and growth strategy. In June, we also announced the proposed purchase of Lumina Copper Corporation for cash and shares of approximately CAD 470 million at the time of the offer. We're moving to Slide 15, Market Guidance. In summary, group production for copper guidance remains unchanged for 2014. Our nickel guidance has increased to a range of 45,000 to 48,000 tonnes of contained metal, and platinum has increased to 26,000 to 29,000 ounces of contained metal. Zinc has been revised down to 55,000 to 60,000 tonnes of contained metal, and the guidance for gold has been narrowed slightly. Full year guidance for copper and nickel C1 costs remains unchanged. And their capital expenditure, the expected total of 2014 capital expenditure is approximately $2.2 billion to $2.4 billion, excluding capitalized interest in any precommercial production costs at Sentinel. And the increase in the prior quarter's guidance reflects a higher spend forecast in this year for the Phase 1 Smelter and Sentinel projects, reflecting the significant advancements of both development projects over the course of 2014. And also just to provide a little bit detail around the guidance, the CapEx forecast includes about $600 million for Cobre Panama; just under $700 million for Trident, just over $600 million on Kansanshi major projects, mining fees and housing; and approximately $70 million at Guelb Moghrein, which includes the magnetite mill upgrade projects. And for the group as well as a whole, capitalized stripping of $160 million. So thank you very much, indeed. And I'll hand back over to Clive.
Geoffrey Clive Newall: Thanks, Juliet. So I think we -- France, if you could open the lines for questions.
Operator: [Operator Instructions] And our first question is from the line of Brett Levy from Jefferies.
Brett M. Levy - Jefferies LLC, Fixed Income Research: Can you provide a little bit of an update on how progress is going at Cobre Panama?
Geoffrey Clive Newall: Zenon, could you address that?
Zenon Wozniak: Yes, sure. Cobre Panama, the progress is going quite well. We spent last year cleaning up a lot of things and improving access, etc. What we're doing at the moment is we're busy on the earthworks. At the port, we're the most advanced, where the earthworks for the power station is at about 92% complete; for the coal handling areas, about 94% complete; and the process plant area, there's one part of milling area that is most advanced, we're at about 65% complete. We've commenced on the tailing stand. There are a lot of earthworks going on at the moment. I am getting ready for first concrete pours, which will occur probably within the next 4 to 6 weeks or so.
Brett M. Levy - Jefferies LLC, Fixed Income Research: And any changes in sort of the commissioning days? Are you guys sort of moving faster or slower than you thought?
Zenon Wozniak: Pretty even. It's early days. There is no change in our outlook at the moment. We've managed to reduce the earthwork's quantity some more, so we continue to work pretty hard in the design to try and minimize the quantities as much as possible. So the earthwork's quantities lost at large have come down from what we previously estimated. But we're taking it pretty steady at the moment because there is quite a bit of wet weather, etc. so we're progressing, I think, in a steady, manageable fashion to slightly lower quantities than what we had estimated.
Brett M. Levy - Jefferies LLC, Fixed Income Research: And then, a question for Clive, with Lumina or Argentina, are you guys still actively in the hunt for new copper or nickel or any minerals projects? And sort of, is there financial structure that you think is sort of beyond the conservative level that you would not achieve?
Geoffrey Clive Newall: Well, I think we -- as we said all along, we continuously are looking for a new project. But as time goes on, the bar is set higher and higher. We're looking for those outstanding world-class opportunities that don't come along very often. But if you're not looking, you tend not to find. So yes, we maintain that effort through both exploration and business development. As I say, the bar is set very high. And Taca Taca is -- that acquisition reflects us. It's -- it was always our -- the next one on our list, so we're only picking off those that we think are best.
Bruce Klein - Crédit Suisse AG, Research Division: And then, on the capital structure side?
Geoffrey Clive Newall: Do you want to address that, Hannes?
Hannes Otto Meyer: Yes, Hannes speaking. On the capital structure side, on the debt-to-equity, on the long run, we're not going to be more than at 35%. And on the net-debt-to-EBITDA, and as previously communicated, it is going to increase this year and as we see the production coming through from Sentinel on the smelters, that's going to good use. But in the long run, we want that to be closer to the sort of 2x mark.
Operator: Our next question from the line of Ian Rossouw with Barclays.
Ian Rossouw - Barclays Capital, Research Division: Just a few questions from my side. First of all, on Kansanshi, you saw quite a big dropoff in grades, and I understand some of that's related to asset availability. Could you perhaps just give some guidance what your expectations are for the various circuits for the rest of the year? And then, also, just the increasing costs related to the waste-dump movement. Do you still expect that to continue? Or are you done with that at the moment? And then just maybe on the smelter as well, if you can give some timing on when you actually expect to start putting concentrates through the smelter in terms of hot commissioning.
Geoffrey Clive Newall: Juliet, do you want to deal with the first bit?
Juliet Wall: Yes. So I mean, in terms of grades, if we look ahead for the rest of the year, we might expect a slight reduction on oxide grade as we process some low-grade oxide stockpile. Sulfide grades probably relatively stable and that [ph] mix, probably either stable or maybe a small reduction or something like but as we process some low-grade ore.
Hannes Otto Meyer: Ian, in terms of your question on the cost, we've relocated those waste dumps now to expose the oxide ore. So that's one-off in this quarter. So you won't see that again. That's added about $0.14 per pound. So that was quite a bit of a cost for this quarter, but that's gone, so that's behind us. And then, Clive, I'll hand it over to you or Zenon on the smelter.
Geoffrey Clive Newall: Zenon, do you want to address the last bit on the smelter?
Zenon Wozniak: Yes, yes, sure. Strong progress on the smelter over the last 6 months. We're currently over 80% complete, construction wise, and we're commencing commissioning now, just energizing power lines and starting to feed power into the plant. And our target is quarter 4, first concentrate through the smelter.
Ian Rossouw - Barclays Capital, Research Division: Sorry, and maybe just one more. On the 90-megawatt power line, you -- it looks you changed the wording slightly in this release, saying you're only going to provide power from that line in Q3. Does that impact your commissioning activities at Sentinel?
Zenon Wozniak: I'll pick that up as well, Clive. It hasn't. We've got 4 megawatts of [indiscernible] power. We've been using that now for a number of months to catch control circuits and energize a lot of control circuits. And the permanent power or the first 90 megawatts should be coming on in the first week of August. So it's very close now. But it hasn't held us up because we've been able to do such a lot of testing on the control side. Once we get the power, we'd just then be working on the power side or the large drive.
Operator: Our next question is from the line of Matt Murphy with UBS.
Matthew Murphy - UBS Investment Bank, Research Division: Maybe just on the second power line while we're on the topic, any update on the schedule there? I know you mentioned it's scheduled to be completed, but do you feel like that's going to be achieved.
Geoffrey Clive Newall: There's 2 components for the second powerline. There's a second and third leg to it. The long leg that you're referring to that we are in control of is about 400 kilometers, which is scheduled for completion in Q4 as has always been the case. The last 150 kilometers, which is being built by ZESCO, is contracted to be completed in Q4 as well. So as far as we're concerned, it's all on schedule. As always, it's the bits that we're not in control of that would keep us awake at night.
Matthew Murphy - UBS Investment Bank, Research Division: Sure. Okay. Just wondering on the budgeting, does any of the CapEx budget for the smelter at Sentinel creep in to 2015, or that's all expected to be done by the end of the year?
Zenon Wozniak: I think the construction would be done. What creeps into 2015 is preproduction labor, depending upon when you declare commercial production, so to speak. So we wear the cost -- or the project wears the cost of the preproduction leg drop until commercial production so that we have some allowance into 2015.
Matthew Murphy - UBS Investment Bank, Research Division: Alright, okay, got it. You mentioned higher asset prices at Ravensthorpe. Just wondering in Zambia what you're seeing with asset prices directionally last quarter and into this quarter?
Geoffrey Clive Newall: Well, I can say, I think the sulphur price has been rising fairly steadily during that period. Have you got any detail on that, Juliet or...
Juliet Wall: Yes, I think that [indiscernible].
Hannes Otto Meyer: I think last quarter asset cost you [ph] was $0.07 per pound higher than the previous quarter, Q1 of this year. The asset cost of the lead circuit section was the same as last year this time. So in this last quarter-on-quarter, we see an increase of about $0.07. That is also due to increasing more of our oxide in the quarter.
Operator: Our next question is from the line of Cailey Barker with Numis.
Cailey Barker - Numis Securities Ltd., Research Division: A few for me. First one, just in regards on Sentinel. Do we expect to see some sales come through in Q4? Secondly, on Kevitsa, well done on getting the license for the 10 million pounds per annum. Could you give us some color on when you think and at what's your time scale you'll implement that and what you need to do? And then just finally, just the CapEx remaining at Sentinel and smelter in Cobre Panama for this year. Sorry, Juliet, you rattled through it and I missed it.
Geoffrey Clive Newall: The first part of the question, sales from Sentinel in Q4. Well, the smelter will only just be beginning to ramp up, so it's unlikely we'll have any saleable metal. But there'll be concentrate produced. But that isn't really sales.
Hannes Otto Meyer: Yes, we've probably seen some of the concentrates in some of the smelters -- I mean, it won't be commercial production, so we will produce product, but it won't be really affecting in the income statement. It will be capitalized by the end of the year. But there should be some sales.
Geoffrey Clive Newall: Zenon, the Kevitsa question, could you deal with that?
Zenon Wozniak: Sure. We've done quite a bit of work already on the process side at Kevitsa when it was originally designed. A few years ago, it was overdesigned as well. So we can quite easily push up to a reasonable throughput at the moment, possibly up around -- was probably running at 7.2 million or something, up around 8 million tonnes per annum with some of the changes we've made. So I think it's the case of looking what else the process plant might need and how far we actually push the throughput at Kevitsa. But by what's already been undertaken at Kevitsa, it can go well ahead of it's previous [indiscernible] rating at the moment.
Cailey Barker - Numis Securities Ltd., Research Division: Okay, great. Just a follow-up. Could you give us a -- what your plans are to take it to 10 million and in what sort time scale, if you have any?
Zenon Wozniak: It's not necessarily our plan to take it to 10 million, and I think that something we'd have to have a look at. I think we went and got the license for 10 million so that we weren't constrained and then we'd look at the mining and what we have to do at the process plant to find the sweet spot. And the sweet spot might be 7.5 million tonnes per annum, or 8 million or 8.5 million or 9 million. It doesn't automatically mean it's 10 million. But we certainly -- we went and got the license for 10 million so that we weren't constrained. Sorry, just to add one more thing on that. If, for example, minimum capital got into a figure of 8 million or 8.5 million tonnes per annum, for example, but then a significant CapEx addition meant that you could go past 8.5 million up to 9 million, you might then question how high you go and when you do it, and that's, really, I guess part of that -- your question.
Geoffrey Clive Newall: There was a third question regarding the CapEx. Juliet, can you just go through that again? Is it okay?
Juliet Wall: Yes. So for full year forecast on CapEx, that included about $600 million for Cobre Panama, just under $700 million for the Trident project and just over $600 million on Kansanshi project -- major projects, including mining fees and housing and approximately $70 million at Guelb Moghrein.
Operator: Our next question from the line of Bruce Klein with Crédit Suisse.
Bruce Klein - Crédit Suisse AG, Research Division: Just any other thoughts to the Panama funding, the $4 billion remaining spend, how that might get funded.
Geoffrey Clive Newall: Hannes?
Hannes Otto Meyer: We have the undrawn facilities inside the corporate label, so that comes part of the funding plan. We generate free cash flow from our operations. That was part of the funding plan. We do have our minority partners in Cobre Panama that adds to the funding [indiscernible] on noncash core. And then also, the Franco-Nevada portion that we're still in discussions with, and that could form part of that as well.
Bruce Klein - Crédit Suisse AG, Research Division: Okay, that helps. And then, on the acquisition front, is there -- I mean, I guess, Lumina is not, I guess, huge in the grand scheme of your company. But would you entertain something that was significantly bigger and the funding allocation of debt and equity, how might that look if that was the case.
Geoffrey Clive Newall: Well, in terms of the scale of these other things we would at, it's -- we look at things on a -- it depends what the sort of nature of the project or the opportunity is, so it's very difficult to predict what we might and might not do. We don't sort of make a plan that we're going to go and acquire something very large or very small. It depends on what looks good. So difficult to answer that.
Hannes Otto Meyer: And on your question on the structuring side, in terms of big acquisition, one has to look at equity. That's got to form part of it because we've got to manage the balance sheet through this period when we commission these projects that we get through probably to mid next year, end of next year and see how free cash flow generation's increasing and the ratio's sort of improving.
Operator: Our next question from the line of Fawzi Hanano with Goldman Sachs.
Fawzi Hanano - Goldman Sachs Group Inc., Research Division: I've got a few questions. Firstly, on Kansanshi. Could you give us a little bit of an update on the level of the concentrate stockpile and what your targets are? I remember they had been changed quite a bit after your first quarter results. And secondly, around the smelter CapEx. Your latest guidance is for $850 million, up from $800 million after your first quarter. Can you tell us how much of that is relating to additional infrastructure for the expansion to 2 million tonnes? Or if there is a slight increase in the Phase 1 CapEx itself?
Hannes Otto Meyer: Fawzi, regarding with the concentrate. The concentrate stockpile at the moment is not at quarter end. It's sort of net 170,000, 175,000 tonnes of concentrate. So that has decreased from, I think in the previous conference call, it was on -- around about 190,000 tonnes. We are evaluating the grades in the oxide and also the cost of the asset. So our plan was probably to reduce it a bit more during the course of the year. But we'll have a look at that. And maybe what you'll see is probably remaining at these levels, maybe reducing slightly before we bring the smelter in.
Geoffrey Clive Newall: And on the smelter CapEx?
Zenon Wozniak: The second part of the question? sure. On the second part of the question, I think in the previous call, we said probably about $50 million of the CapEx could be attributed to the future expansion, which is work that we've done now that will make it easier in the future, and -- specifically, on the increase. So some of that we've done, so that we're in better shape our future expansion. We're certainly putting a lot of effort into completing the smelter as quickly as possible. So we've put more people onto the night shift, for example. And we're also doing a few things to try and minimize any hiccups during startups. So we've bought additional spares and more spares that would normally be the case. So that we're not caught up if we have some problems during commissioning and ramp-up. So those things combined, I think, could increase the CapEx slightly.
Fawzi Hanano - Goldman Sachs Group Inc., Research Division: Okay. And kind I follow it up? I know you guys are still evaluating the second phase. Is there any indication as to how you refine -- what the CapEx number could look like to get to that full 2 million tonnes?
Zenon Wozniak: We did have a previous estimate. So we stood back and had another look at it now based on the work that we've done under the current smelter and also look at where we would expand to. We had previously looked at expanding up to 2 million tonnes per annum. But it also might be quite easy to expand to 2.4 million tonnes per annum, which would be almost a copy of the current fund. So I think we need to go back and just revisit that.
Operator: Our next question is from the line of David Charles from Dundee Capital Markets.
David Charles - Dundee Capital Markets Inc., Research Division: Just maybe a question on your negotiations or your discussions with Franco-Nevada. I mean, I think I heard someone say that it looks like you'll have some cash flow coming from Franco, and I'm just wondering, has there been any change in your discussions with them? And you could maybe give us an update, if possible.
Geoffrey Clive Newall: I think both the discussions with Franco and our partners at the project level, they're still subject to the confidential negotiation, so we can't really comment. I think they're moving on, and we would hope to get some sort of resolution quite soon. But I don't really want to comment any further at this point.
David Charles - Dundee Capital Markets Inc., Research Division: Okay, that's fine. Maybe just 2 other quick questions. In your MD&A, you talked about getting additional external assets at Kansanshi, and that's giving you more flexibility. I mean, it was mentioned as well that your quarter asset costs went up. I mean, I'm just wondering, are you -- what exactly should -- will this do by buying the exit -- extra assets? Will this give you better control on your costs, help you to bring down your costs? Are we -- are you just trying to keep your costs at current levels?
Geoffrey Clive Newall: Well, I think we're a bit of a price taker, aren't we, Hannes?
Hannes Otto Meyer: Yes, if we buy the asset, you can sometimes buy it cheaper than manufacturing the asset from smelter. Smelter prices have increased. But if we buy the asset from the smelters, sometimes that price is a bit lower. There's the opportunity and then doing so in the next quarter. But here in the past quarter, it was certainly higher than the previous quarter, but it was a function of sulfur and mix of the material that decreased it here in the past quarter.
David Charles - Dundee Capital Markets Inc., Research Division: Okay, so you're basically using this as the -- your average pricing between the price of sulfur and the price of acid [indiscernible], but that's possible price, is that it?
Hannes Otto Meyer: Yes, it's sort of a mix of that. I mean, if you -- we see there's also acid available, you buy that. But we do manufacture it at half price [indiscernible] acid as well from the smelter. So if you practice both, but if there is a little bit that you can do in terms of buying local acid.
David Charles - Dundee Capital Markets Inc., Research Division: Okay. And maybe just one final question then. Enterprise, it hasn't been really clear exactly when you might start up the nickel project. I'm just wondering, it looks like it's going to be sometime next year, although it does sound like construction has started. Is there any guidance you can give us there as to when Enterprise might be completed and et cetera?
Geoffrey Clive Newall: We -- previously, we've given guidance for getting everything complete sort of early next year. There's been a few changes of plan, some related to our view that the nickel price is going to be stronger for longer. So in the original plan, there was rather an ad hoc strip just giving us quick access to all, whereas we've now decided to stand back and do a much more comprehensive prestrip before we start production there, given our slightly longer view of the nickel price. So that's going to affect the timing a little bit. We haven't got a schedule detail here.
David Charles - Dundee Capital Markets Inc., Research Division: Okay. Is it -- it sounds to me like it might be more H2 than H1.
Geoffrey Clive Newall: It'd certainly be in the latter half of '15 or even possibly slightly later. But wait till we've got -- we can give you something more precise on that.
Operator: Our next question is from line of Oscar Cabrera with Bank of America Merrill Lynch.
Oscar Cabrera - BofA Merrill Lynch, Research Division: Just going back to Kansanshi price. The cost on a per-pound basis for mining and processing has been increasing. When the smelter project was announced, we had talked about the potential savings of $0.25 a pound, I believe. Based on what you see going forward, I mean, do you still think that you can have those savings? And when do you -- are you budgeting for those?
Geoffrey Clive Newall: Well, absolutely, yes. I mean, as Juliet said, quite a lot of the increased costs this time around were related to sort of one-off things like moving 2 million cubic meters of waste to expose more oxide ore in Kansanshi [ph]. The cost of having -- changing your mining plan sort of halfway through in there, which we were forced to do because of the concentrate buildup, we'll have to do some extra things for mining, including moving some tonnes. So I think -- no, the same features applies. That once the smelter's online, it's going to substantially -- substantial savings on acid cost.
Oscar Cabrera - BofA Merrill Lynch, Research Division: That's assuming smelter online at 80% capacity, is that right?
Geoffrey Clive Newall: We're certainly generating a lot of acid, yes.
Oscar Cabrera - BofA Merrill Lynch, Research Division: Yes, so tame [ph] those savings, okay, that helps. Then in terms of your CapEx, the figures that you reported a little bit earlier on out of Trident, you said $700 million for this year. How much of that is Sentinel? And is there any figure there for the strip in Enterprise?
Geoffrey Clive Newall: So this year, no. I don't think so. But Juliet, can you...
Juliet Wall: So thereabout -- about $625 million would be Sentinel; and about $65 million, Enterprise.
Oscar Cabrera - BofA Merrill Lynch, Research Division: Okay. And just based on the description that you provided or the color you provided to the previous question, what -- how much should we expect to spend in Enterprise next year?
Geoffrey Clive Newall: Well, the balance of the construction costs and the additional cost of the bigger strip -- the bigger prestrip, which is still being evaluated, this whole thing is next [ph].
Oscar Cabrera - BofA Merrill Lynch, Research Division: Okay. And then, lastly, on the -- you mentioned $116 million in capitalized stripping. If you segment that, I mean, what projects are we talking about here? Or is it part of the company?
Juliet Wall: Yes, so capitalized stripping, that will impact probably 4 major operations, so the majority of that would be at Kansanshi, followed by Kevitsa, Las Cruces and Guelb. So those are the 4 operations where we would expect and where we have seen to-date and we would expect for the full year in capitalized stripping.
Oscar Cabrera - BofA Merrill Lynch, Research Division: And then just the last one, just to give us an idea, where do you -- where you think this amount will go for these projects going forward? Any guidance would be great.
Juliet Wall: Sorry, are you talking about -- is this the capitalized stripping?
Oscar Cabrera - BofA Merrill Lynch, Research Division: Right.
Juliet Wall: So in the context of the capital policies, we'd capitalize the certain assets of stripping costs. And yes, last year, I think we capitalized around about $200 million. In fact, reduced [indiscernible] about -- round about to $560 million for this year. But it will depend on the mine plans, what areas were for the stripping assets, et cetera, at the time.
Oscar Cabrera - BofA Merrill Lynch, Research Division: Understood. But if I can ask that a little bit different again, I suspect the highest mall [ph] was Kansanshi. There's some changes there. But as you move forward, in the disclosure you have in your MD&A, it seems like Las Cruces and Guelb are going to have -- I wouldn't say significant changes, but changes, as well as Kevitsa. So should we expect this to stay around the same level? Or are we increasing that. And I understand it's based on mine plans, but what's your budget right now?
Juliet Wall: Well, I -- wouldn't expect it to increase. If anything, it will probably come down slightly in future years, but it's something that we'll have to look at each year when we're doing our budgeting and our plans going ahead. So it can change as mine plans change. But you wouldn't expect a significant more -- probably more that we have this year. And obviously, you're quite right, it will change between operations, so you'll have some years, like Kevitsa, according to mine plan, in future years, maybe '17, '18, we'll have a higher capitalized stripping. And you'll probably see sort of fallback in Kansanshi's capitalized stripping. So there will be different mixes, yes. But year-on-year, I wouldn't expect it to be significantly higher than we have at the moment, and it could fall back to a slightly smaller number. But as I would say, it's something we have to review and look at every year, but at the moment, they are part of planning.
Operator: Our next question is from the line of Alex Terentiew from Raymond James.
Alex Terentiew - Raymond James Ltd., Research Division: I just got one follow-up question here on Enterprise. There's usually a bit of a delay in getting the environmental approval for that project. Is that delay related in any way to something that's in the government [ph] noted earlier?
Geoffrey Clive Newall: No, I think, it's not -- I don't think we're suffering any delay. It's just going through due process at ZEMA, and it's going through -- quite straightforward way as we can -- as far as we can tell.
Alex Terentiew - Raymond James Ltd., Research Division: Okay. Okay, fair enough. One -- just one follow-up question on Cobre Panama. Back in January when you provided an update on the project, you focused more on their production measures and startup CapEx. Is there any update you can give us on OpEx or sustaining CapEx expectations? And if not now, I'm just wondering when you may be in a position to give us those numbers.
Geoffrey Clive Newall: Yes, I'm afraid the answer is still later this year. There's working on a lot of things at the moment. Just to give you an idea of some of the things that are still variables, if you like, we've only just very recently located the first of the in-pit crushers, which gives us -- allows us to actually look at all of the hold distances and costs, of course. We're still negotiating the unit power costs. So fairly major contributions to costs are still a sort of work in progress, but we're slowly getting there. I'm sorry, it's maybe slightly later than, well, anticipated, but there is a lot of work been going on, a lot of design work before we can really get into that. So we're on the case, but it's a few months away yet.
Operator: Our next question is from the line of Alain Gabriel with Morgan Stanley.
Alain Gabriel - Morgan Stanley, Research Division: Geoff, my question is on Enterprise. Does the delay mean that there will be an expansion in scope of Enterprise? And the second part of the question is, what's driving that decision -- or what will drive that decision around the expansion from 36,000 tonnes to around 70,000 tonnes, let's say?
Geoffrey Clive Newall: Yes, it certainly will give us a lot more flexibility. The prestrip we're now concentrating will allow us to do all of those things and to really optimize the production to the market at the time. So yes, I mean, that's really the basis of it. But it's also based on our -- clearly, a stronger view of the nickel price going forward.
Alain Gabriel - Morgan Stanley, Research Division: Okay. And for the expansion to 70,000 tonnes, what would drive the decision? Is it part of your [indiscernible]?
Geoffrey Clive Newall: Liquidity in the market, essentially.
Operator: Our next question is from the line of Jean Devevey from Exane.
Jean-Baptiste Devevey - Exane BNP Paribas, Research Division: Jean-Baptiste Devevey from Exane. Most of my questions have been answered. I still have one last. On the first power line for the smelters, sorry, so the timing that you cited into Q4, what is the reasoning behind that because I thought that you were fully concluding the construction process there?
Geoffrey Clive Newall: No, there was -- there's -- the latter is going to -- well, Hannes, you're kind of up to speed on all of that, aren't you. Do you want to answer that?
Hannes Otto Meyer: You're talking about the smelter -- I think you're talking about the smelter that's moving into Q4, so I think Zenon is probably best to answer that.
Zenon Wozniak: Are you talking about the smelter or the power line?
Jean-Baptiste Devevey - Exane BNP Paribas, Research Division: The power line, the power line, sorry. Yes.
Zenon Wozniak: The power line, all right.
Hannes Otto Meyer: I figured, is that -- that's the power line the first power line coming in?
Jean-Baptiste Devevey - Exane BNP Paribas, Research Division: Yes.
Hannes Otto Meyer: Then it's Zenon then on the -- it's probably at the rate that was [indiscernible], as I have said, that [indiscernible]
Zenon Wozniak: Just to understand the question correctly, we're talking about the first power line providing 90 megawatts to Sentinel and its movement from Q2 to Q3. Is that correct?
Jean-Baptiste Devevey - Exane BNP Paribas, Research Division: Yes, exactly.
Zenon Wozniak: Okay, got it. All right. It was essentially complete during Q2, but then we had a number of problems where we had theft along the lines. So locals were actually stealing the steel structure, so they were unbolting and taking away parts of the towers. And unfortunately, that while towers were completed, they were then being stripped and stolen. So we thought of welding all the pieces in place, so we had to reorder new steel, and then we had to put security along the power lines full time to stop that stealing taking place. So that actually did delay us because it was finished and then we went backwards. So a few factors like that made it switch from being, for example, May-June into now being July-August.
Jean-Baptiste Devevey - Exane BNP Paribas, Research Division: Okay, understood. And then on the [indiscernible], do you have any indications on what kind of strategic [indiscernible] you expect for next year, and when you expect to reach full capacity there?
Geoffrey Clive Newall: Tough question.
Zenon Wozniak: Clive, do you want to hand over to me?
Geoffrey Clive Newall: Yes if you want to have some color for that?
Zenon Wozniak: So if we get a good ramp-up, we could go relatively quickly to, for example, 75% production or 80% production. Historically, smelters have taken a long time to ramp up, and so we have had some conservative view as to how long the smelter might take to ramp up to 100%, for example. In some smelters, it never ramps up to 100%. Some never actually got to their 99% [ph]. Invariably, what tends to happen is smelters in their ramp-up seem to run well and then hit a problem, and then they shut down for a month while something gets fixed. So we're trying very hard to try and make sure that we cover all those bases. So if we do have any hiccups on the way, they're relatively minor so that our ramp-up is smooth and steady rather than it goes up to, for example, 75% then comes up for a period of time. But historically, smelters have had issues, so we have visited existing smelters, and we know what those issues are. And we've designed in [indiscernible] everything that we have seen from other smelters that have caused problems to try and minimize out issues during ramp-up.
Operator: And our next question is a follow-up from David Charles from Dundee Capital Markets.
David Charles - Dundee Capital Markets Inc., Research Division: Yes, maybe a question for you, Clive. I'm just wondering how this whole VAT issue is going to play out. I noticed that you've moved some of your VAT into noncurrent liabilities or noncurrent inlay [ph]. I'm just wondering, what color can you give us on VAT with the -- in Zambia and how you think it's going to play out?
Geoffrey Clive Newall: Well, I think Hannes has just started meetings on that very subject in Zambia in the last couple days, so do you want to deal with that, Hannes?
Hannes Otto Meyer: Sure, Clive. I've had meetings for the last year on that. So we at the moment, and there was actually a case article yesterday in Zambia, which is why we've confirmed some of the discussions I've had with the Minister of Finance and then the Secretary of Treasury over the last 1 or 2 months. They've moved the announcement by the government of Zambia and IMF, a joint announcement, setting up a lot of the Zambia quality. And in that, the greater make of this event [indiscernible] being made. The recent article mentioned that for this year, [indiscernible] the same 5 years, and from that article is that the -- back for this year, for 2014, they want to go [indiscernible] end 2014 with a 0 balance carryover. So we do anticipate that we transfer 2014 probably to the second half of the year. And as a matter of addressing the 2013 carryover and the negative [indiscernible] of repaying that, and that's why we've moved the 2013 VAT into a longer-term asset. So what we thought beyond '14 at the moment is that, that would probably be repaid by the government in 1-year or 2-year period. So we are looking at that, and we're in discussions with them and seeing how we solve this.
David Charles - Dundee Capital Markets Inc., Research Division: Okay. So basically then, 2014, they're going to get, and they will just spread the rest over the next couple of years?
Hannes Otto Meyer: That is my understanding.
Operator: Mr. Newall, we have no further questions at this time. I'll turn the call back to you. You may continue with your presentation or closing remarks.
Geoffrey Clive Newall: Well, thank you very much, and thanks very much, everybody, for attending. And we look forward to seeing you again or hearing from you again next time. If you have any follow-up questions, I think you know how to get hold of Sharon or I, and we'll be available by telephone over the next few days. So thanks to everyone for listening, and we'll talk to you next quarter. Goodbye.
Operator: Thank you. Speakers, you're welcome to remain connected. Ladies and gentlemen, this does conclude the conference call for today. We thank you, all, for your participation today. Have a great day, everyone.